Operator: Thank you for standing by. Welcome to Micron Technology, Inc.'s First Quarter 2026 Financial Call. At this time, all participants are in listen-only mode. After the speakers' presentation, there will be a question and answer session. To ask a question during the session, you will need to press 11 on your telephone. If your question has been answered and you would like to remove yourself from the queue, please press the pound key. As a reminder, today's program is being recorded. And now I would like to introduce your host for today's program, Satya Kumar, Investor Relations. Please go ahead, sir.
Satya Kumar: Thank you, and welcome to Micron Technology, Inc.'s fiscal first quarter 2026 Financial Conference Call. On the call with me today are Sanjay Mehrotra, our Chairman, President and CEO, and Mark Murphy, our CFO. Today's call is being webcast from our Investor Relations site at investors.micron.com, including audio and slides. In addition, the press release detailing our quarterly results has been posted on the website along with the prepared remarks for this call. Today's discussion contains forward-looking statements that are subject to risks and uncertainties. These forward-looking statements include statements regarding our future financial and operating performance, as well as trends and expectations in our business, contractual terms, market, industry, products, and regulatory and other matters. These statements are based on our current assumptions, and we assume no obligation to update these. Please refer to our most recent financial reports on Forms 10-K, Forms 10-Q, and our other filings with the SEC for more information on the risks and uncertainties that could cause actual results to differ materially from expectations. Today's discussion of financial results is presented on a non-GAAP financial basis unless otherwise specified. A reconciliation of GAAP to non-GAAP financial measures can be found on our website. I will now turn the call over to Sanjay.
Sanjay Mehrotra: Thank you, Satya. Micron Technology, Inc. had an outstanding start to fiscal 2026, delivering fiscal Q1 revenue, gross margin, and EPS well above the high end of our guidance. This financial performance was driven by our strong execution across end markets and products in a tight supply environment. We achieved a number of records in fiscal Q1. Total company revenue, DRAM and NAND revenue, as well as HBM and data center revenue, and revenue in each of our business units also reached new records. We have completed agreements on price and volume for our entire calendar 2026 HBM supply, including Micron's industry-leading HBM4. We forecast an HBM TAM CAGR of approximately 40% through calendar 2028, from approximately $35 billion in 2025 to around $100 billion in 2028. This $100 billion HBM TAM milestone is now projected to arrive two years earlier than in our prior outlook. Remarkably, this 2028 HBM TAM projection is larger than the size of the entire DRAM market in calendar 2024. We are excited about our customized HBM4E customer engagements, which offer further differentiation opportunities to us, and we continue to make excellent progress on our HBM roadmap. Memory is now essential to AI cognitive functions, fundamentally altering its role from a system component to a strategic asset that dictates product performance from data center to the edge. This structural shift means that system capabilities heavily rely on advanced memory for real-time contextual processing, which is vital for achieving autonomous and intelligent behaviors in AI data centers as well as in applications ranging from self-driving cars to advanced medical diagnostics. With our technology leadership, differentiated product portfolio, strong operational execution, and solid balance sheet, Micron Technology, Inc. is in the best competitive position in its history and is one of the semiconductor industry's biggest enablers of AI. We anticipate substantial new records in revenue, gross margin, EPS, and free cash flow for both the second quarter and the full fiscal year 2026, and we expect our business performance to continue to strengthen through the year. Sustained and strong industry demand, along with supply constraints, are contributing to tight market conditions, and we expect these conditions to persist beyond calendar 2026. We are making progress with customers in our multiyear contracts with specific commitments. Simultaneously, we are focused on maximizing our production output from our current footprint, ramping our industry-leading technology nodes, and investing in new clean room space to add to our supply capability. Micron Technology, Inc.'s technology leadership is foundational to our strong competitive position. Micron Technology, Inc. has led the industry for four consecutive technology nodes in DRAM and three nodes in NAND with progressively faster yield ramps in every node. Our 1-gamma DRAM node is ramping well. 1-gamma will be the primary driver of our DRAM bit growth in calendar 2026 and will be the majority of our bit output in the second half of the calendar year. Looking beyond 1-gamma, development is underway for 1-delta and 1-epsilon nodes, which will feature innovations that we expect to extend our differentiation and technology leadership. In NAND, we are ramping our G9 node with robust yield ramps across both data center and client SSDs. Our QLC NAND mix, including G9 QLC, reached a record high during the quarter. Technology transitions to G9 will be the primary driver of our NAND bit growth in calendar 2026, and we expect it to become our largest NAND node later in fiscal 2026. I am pleased to report that calendar 2025 is a record year for Micron Technology, Inc. in terms of both internal and customer quality measures, positioning us well to deliver for our customers as the memory industry's quality leader. As our products are increasingly integrated into higher-value applications, our leadership in quality is becoming a more important differentiator. Turning to our end markets, as the world's leading technology companies advance toward artificial general intelligence and transform the global economy, our customers are committing to an extraordinary multiyear data center build-out. This growth in AI data center capacity is driving a significant increase in demand for high-performance and high-capacity memory and storage. Server unit demand has strengthened significantly, and we now expect calendar 2025 server unit growth in the high teens percentage range, higher than our last earnings call outlook of 10%. We expect server demand strength to continue in 2026. Server memory and storage content and performance requirements continue to increase generation to generation. Micron Technology, Inc. has a differentiated portfolio of high-value data center solutions to address these requirements, including our HBM, high-capacity server memory solutions, and data center SSDs. Micron Technology, Inc.'s HBM4, with industry-leading speed over 11 gigabits per second, is on track to ramp with high yields in the second calendar 2026, consistent with our customers' product ramp plans. Our HBM4 uses advanced CMOS and advanced metallization process technologies on the base logic die and DRAM core dies, which are designed and manufactured in-house. This, along with our unique HBM design, packaging, and test capability, enables Micron Technology, Inc.'s industry-leading performance and low power leadership. Micron Technology, Inc. pioneered the adoption of LPDRAM in the data center. Micron Technology, Inc.'s low-power DRAM server modules consume one-third the power of DTR DRAM server modules. Building on this leadership, we have sampled our 192-gigabyte LP SOCAM2 product, which enables a 50% increase in capacity per module and a rack-scale LPDRAM density of over 50 terabytes. Our data center NAND portfolio revenue exceeded $1 billion in fiscal Q1, and we are seeing strong momentum across our data center SSD portfolio enabled by our leadership NAND technology. In the performance SSD category, Micron Technology, Inc. has introduced the world's first PCIe Gen6 SSD, leveraging our G9 NAND. We are seeing rapidly increasing qualification commitments for this product, including at hyperscalers. In mainstream storage, our SSDs based on G9 NAND are already seeing robust demand in 2026. In capacity storage, our QLC-based 122 and 245 terabytes G9 SSDs are entering qualification at multiple hyperscale customers. PC demand continues to be driven by Windows 10 end-of-life and AI PCs. We forecast PC unit sales to grow in the high single-digit percentage range in calendar 2025, above our prior expectations provided in our last earnings call of mid-single digits. As we look ahead into 2026, we expect these demand drivers to continue while memory supply constraints may affect some PC unit shipments. Micron Technology, Inc. has completed multiple OEM qualifications of our 16-gigabit, 1-gamma-based DDR5 and our G9-based PCIe Gen4 QLC SSDs. Turning to mobile, smartphone unit volumes in calendar 2025 are on track to grow in the low single-digit percentage range. AI is driving memory content growth. The shipment mix of flagship smartphones with 12 gigabytes of DRAM increased to 59% in calendar Q3, more than twice the level from a year ago. Micron Technology, Inc. is accelerating innovation across our mobile DRAM portfolio. In fiscal Q1, we began sampling our breakthrough 1-gamma 16-gigabit LPDDR6 product to leading OEM and ecosystem partners, marking a major milestone in next-generation memory technology. LPDDR6 will power AI at the edge, delivering over 50% higher performance and improved power efficiency for flagship smartphones and AI PCs. Micron Technology, Inc. also sampled our 1-gamma LP5X 24-gigabit product and began volume shipments of the previously announced 1-gamma LP5X 16-gigabit product to multiple OEMs. Turning to auto, industrial, and embedded, in automotive, L2+ and LC adoption is driving robust demand today, and our customers' roadmaps indicate significantly higher memory content in fully automated vehicles. Micron Technology, Inc. is uniquely positioned for growth with our differentiated product portfolio and automotive market share leadership. Our ASIL-rated LPDDR5X and UFS 4.1 NAND products, optimized for automotive and advanced robotics that include bandwidth-enhancing features, are seeing strong demand and have already secured billions of dollars in design wins. In industrial, demand continues to strengthen, driven by the growing adoption of autonomous systems across various applications. Long-term demand trends trajectory remains robust for memory and storage in industrial applications, such as in factory automation, aerospace and defense, humanoid robotics, edge networking, and video surveillance. Across both auto and industrial markets, LPDDR4X and DDR4 are also experiencing strong demand, and we are making investments to provide long-term supply from our Manassas, Virginia fab. Now turning to our market outlook. Over the last few months, our customers' AI data center build-out plans have driven a sharp increase in demand forecasts for memory and storage. We believe that the aggregate industry supply will remain substantially short of the demand for the foreseeable future. The dramatic increase in HBM demand is further challenging the supply environment due to the three-to-one trade ratio with DDR5, and this trade ratio only increases with future generations of HBM. Additional clean room space is necessary to address this increased demand, and lead times for clean room build-out are lengthening across geographies. Together, these demand and supply factors are driving tight industry conditions across DRAM and NAND, and we expect tightness to persist through and beyond calendar 2026. Calendar 2025 DRAM and NAND bit demand growth expectations are higher than in our last earnings call outlook. We now expect calendar 2025 DRAM bit demand growth to be in the low 20% range versus high teens previously. We expect 2025 NAND bit demand growth to be in the high teens percentage range versus low to mid-teens previously. We expect calendar 2026 industry DRAM and NAND bit shipment growth to be constrained by industry supply. We expect both DRAM and NAND calendar 2026 industry bit shipments to increase around 20% from 2025 levels. Micron Technology, Inc. is working hard to support our customers' demand during this time, and we expect to grow our DRAM and NAND bit shipments approximately 20% in calendar 2026. Despite significant efforts, we are disappointed to be unable to meet demand from other customers across all market segments. Micron Technology, Inc. plans to increase our fiscal 2026 CapEx to approximately $20 billion versus our prior estimate of $18 billion. This increase will primarily support our HBM supply capability and also our 1-gamma supply in calendar 2026. We are pulling in equipment orders and accelerating installation timelines to maximize output capability. Micron Technology, Inc. is also investing across our global manufacturing footprint to add supply to support longer-term demand. We are seeing an enthusiastic customer response to our planned US supply. We are pulling in our first Idaho fab timeline, and we now expect first wafer output in mid-calendar 2027, earlier than our prior expectation of the second half of calendar 2027. Earlier this year, we announced our plans for the second Idaho fab, which will begin construction in 2026 and be operational by 2028. We are making good progress on securing necessary permits for our New York site and appreciate the partnership with the state of New York and the Trump administration. We plan to break ground on our first New York fab in early calendar 2026, which we expect will provide supply in 2030 and beyond. In Japan, with the support of METI, we are making technology and manufacturing investments. We are enabling future DRAM technology transition in coordination with our Boise R&D team. We are also adding clean room space in our Hiroshima fab to support these advanced nodes, which will increase production scale and optimize fab economics. In Singapore, our HBM advanced package facility is on track to contribute meaningfully to our HBM supply in calendar 2027. As HBM becomes a part of our Singapore manufacturing footprint, we expect opportunities for synergies between NAND and DRAM production. We are pleased with the progress on our assembly and test facility in India, which has initiated pilot production and will ramp in 2026. As we make progress on our strategic manufacturing initiative, we will continue to be responsive to the market environment and disciplined with our CapEx plans. I will now turn it over to Mark for our fiscal Q1 financial results and outlook.
Mark Murphy: Thank you, Sanjay, and good afternoon, everyone. Micron Technology, Inc. delivered strong financial results for the fiscal first quarter, with revenue, gross margin, and EPS all exceeding the high end of our guidance. During the quarter, we generated record free cash flow, reduced our debt, and returned to net cash. Total fiscal Q1 revenue was $13.6 billion, up 21% sequentially and up 57% year over year, setting a quarterly record for the third consecutive quarter. We saw sequential revenue growth across all our business units. Fiscal Q1 DRAM revenue was a record $10.8 billion, up 69% year over year, and represented 79% of total revenue. Sequentially, DRAM revenue increased 20%, bit shipments were up slightly, and prices increased 20%, driven by tight industry DRAM supply, pricing execution, and favorable mix. Fiscal Q1 NAND revenue was a record $2.7 billion, up 22% year over year, and represented 20% of Micron Technology, Inc.'s total revenue. Sequentially, NAND revenue increased 22%. NAND bit shipments increased in the mid to high single-digit percentage range, and prices increased in the mid-teens percentage range, driven by tight NAND industry supply, pricing execution, and favorable mix. The consolidated gross margin for fiscal Q1 was 56.8%, up 11 percentage points sequentially. This improvement was driven by higher pricing with strong cost execution and favorable mix. Now turning to quarterly financial performance by business unit. Cloud Memory Business Unit revenue was a record $5.3 billion and represented 39% of total company revenue. CMBU revenue was up 16% sequentially, driven by an increase in bit shipments and higher prices. CMBU gross margins were 66%, higher by 620 basis points sequentially, supported by cost execution and higher pricing. Core Data Center Business Unit revenue was a record $2.4 billion and represented 17% of total company revenue. CDBU revenue was up 51% sequentially, driven by robust bit shipments and higher pricing. CDBU gross margins were 51%, up 990 basis points sequentially, supported by higher pricing and cost execution. Mobile and Client Business Unit revenue was a record $4.3 billion and represented 31% of total company revenue. MCBU revenue was up 13% sequentially, driven by higher pricing partially offset by lower bit shipments. MCBU gross margins were 54%, up 17 percentage points sequentially, driven primarily by higher pricing. Automotive and Embedded Business Unit revenue was a record $1.7 billion and represented 13% of total company revenue. AEBU revenue was up 20% sequentially, driven by higher bit shipments and higher pricing. AEBU gross margins were 45%, up 14 percentage points sequentially, driven primarily by higher pricing. Operating expenses in fiscal Q1 were $1.3 billion, up $120 million quarter over quarter and in line with our guidance range. The sequential increase was driven by higher R&D expenses in support of technology and product development on our new DRAM and NAND technology nodes. We generated operating income of $6.4 billion in fiscal Q1, resulting in an operating margin of 47%, up 12 percentage points sequentially and 20 percentage points year over year. Fiscal Q1 taxes were $977 million on an effective tax rate of 15.1%. Non-GAAP diluted earnings per share in fiscal Q1 was $4.78, with 58% sequential growth and 167% versus the year-ago quarter. Turning to cash flow and capital expenditures. In fiscal Q1, operating cash flows were $8.4 billion, and capital expenditures were $4.5 billion, resulting in free cash flow of $3.9 billion. Fiscal Q1 free cash flow was a quarterly record, exceeding our prior record in fiscal Q4 2018 by over 20%. Ending inventory for fiscal Q1 was $8.2 billion, down $150 million sequentially, with days of inventory at 126. DRAM inventory days remain tight and below 120 days. On the balance sheet, we held $12 billion of cash and investments at quarter-end and maintained $15.5 billion of liquidity when including our untapped credit facility. In fiscal Q1, we repurchased $300 million of shares as permitted by the terms of the CHIPS agreement. During the quarter, we also reduced debt by $2.7 billion, paying off a $1 billion balance of term loans and redeeming $1.7 billion of senior notes. We closed the quarter with $11.8 billion of debt and a net cash balance over $250 million. Through the fiscal year, we expect to further strengthen our balance sheet as we generate additional free cash flow. Before turning to our outlook, I would like to share an update on how we are benefiting from AI use across Micron Technology, Inc. Today, over 80% of our professional workforce actively uses GenAI, with total usage up tenfold since last year. In manufacturing, integrating AI into yield and quality management has cut root cause identification time by half in cases. Our coding teams are realizing gains of 30% or more using AgenTeq AI. In R&D, GenAI is accelerating development by reducing cycle times in design verification, product validation, issue triage, and root cause analysis. Across business functions, GenAI is broadening automation opportunities, and we are deploying conversational analytics to accelerate and improve decision-making. We expect Micron Technology, Inc.'s use of AI across the enterprise to further strengthen our competitiveness in the coming years. Now turning to our outlook for the fiscal second quarter. Industry demand is greater than supply for both DRAM and NAND. We expect higher prices, lower costs, and favorable mix to all contribute to gross margin expansion in Q2. Operating expenses for fiscal Q2 are projected to be approximately $1.38 billion. As mentioned last quarter, Micron Technology, Inc.'s fiscal Q4 2026 OpEx will also reflect the effect of an additional work week in this 53-week fiscal year. We expect a fiscal Q2 and fiscal year 2026 tax rate of around 15.5%. Micron Technology, Inc. is investing in a disciplined manner across our global manufacturing footprint to better meet demand. To address tight supply-demand conditions, if extending beyond 2026, we now project our capital spending in fiscal 2026 to be approximately $20 billion, weighted to the second half of the fiscal year. We expect free cash flow to strengthen in fiscal Q2, and we expect to generate significantly higher free cash flow year over year in fiscal 2026. Any impacts that may occur due to potential new tariffs are not included in our guidance. With all these factors in mind, our non-GAAP guidance for fiscal Q2 is as follows: We expect revenue to be a record $18.7 billion, plus or minus $400 million, gross margin to be in the range of 68%, plus or minus 100 basis points, and operating expenses to be $1.38 billion, plus or minus $20 million. Based on a share count of approximately 1.15 billion shares, we expect EPS to be a record $8.42 per share, plus or minus $0.20. I will now turn it over to Sanjay to close.
Sanjay Mehrotra: Thank you, Mark. AI-driven demand is here, and it is accelerating. And Micron Technology, Inc. is capturing these opportunities with the best competitive position in its history. This success is built on the strength of our global team, and I want to thank our team members worldwide for their hard work and dedication. We are in the most exciting time in Micron Technology, Inc.'s history, and the best is yet to come. We will now open for questions.
Operator: Operator, can you queue up the questions?
Operator: Yes, sir. And I show our first question comes from the line of Timothy Arcuri from UBS. Timothy Arcuri from UBS, your line is open.
Timothy Arcuri: Thanks a lot. Sanjay, I wanted to ask you about customer LTAs. I know we are hearing about DDR5 that's being bundled with HBM, and in some cases, even NAND. So can you just talk about these LTAs? I know it sounds like these are, you know, stretching out through 2026 and in some cases even 2027. I have even heard of some stuff into, you know, 2028. So can you talk about the nature of these LTAs? And then I had an AI follow-up as well. Thanks.
Sanjay Mehrotra: These are multiyear contracts that we are in discussions with several of our key customers. And these contracts, of course, involve DRAM as well as NAND. And, you know, with respect to the returns, of course, these contracts that we are under discussions for are very different from prior LTAs. They have specific commitments in them and a much stronger contract structure. And beyond that, I cannot be giving you specifics at this point. Of course, in the future, if and when appropriate, we will be sharing further details.
Timothy Arcuri: Thanks. And then, Mark, I want to ask you about CapEx. So you took it up to $20 billion net, but it still seems, I mean, you are not guiding all fiscal '26 revenue, so we do not really know what the capital intensity number is. But it seems like it is like 25 to 30%, which is a little below your 35%, you know, metric that you usually think of. So is that because you are constrained because of fab space? And can you just talk about does that sort of like roll into fiscal '27 where we would see, you know, cap up more near that 35% range? Thanks.
Operator: Thank you. And I show our next question in the queue comes from the line of CJ Muse from Cantor Fitzgerald. Please go ahead.
CJ Muse: Gotcha. Back to you. CJ Muse, your line is open.
Operator: Yeah. Yeah. They did not answer the prior question. Operator?
Operator: Yes, sir. Can you turn it back to management so they can answer the prior question?
Operator: Sure. Management's line is open. Please proceed.
Mark Murphy: I believe the speaker's lines are muted at this time.
Operator: Ladies and gentlemen, please continue to stand by. Your call will resume momentarily.
Mark Murphy: Operator, can you hear us?
Operator: Yes. We can now. You are unmuted, sir. Please proceed.
Mark Murphy: Okay. I am not sure what happened there. We were on mute here. So I just want to make sure that you heard Sanjay's response. Correct?
Timothy Arcuri: We did not.
Mark Murphy: You did not hear Sanjay's response. Okay. Thanks, Tim. So Sanjay, we heard the I heard Sanjay's response to the first question, but I did not hear your response, Mark, to my question on CapEx and on capital intensity.
Mark Murphy: Okay, Tim. Okay, Tim. Thank you. So you are right, Tim. We are not providing a full-year revenue guide. We did indicate that our CapEx was going up in fiscal '26. And, you know, a substantial part of that CapEx is to support DRAM and specifically HBM and the 1-gamma and 1-gamma RAM. You know, I would say that from '25 to '26, the plan is roughly to double the brick-and-mortar construction CapEx. And at this time, we would expect '27 CapEx to be up, you know? But I want to emphasize that Micron Technology, Inc. is going to remain disciplined on CapEx growth to support, you know, bit demand and that bit supply and that supply will be in line with demand.
Timothy Arcuri: As your question of capital intensity, our capital intensity, of course, is dropping as the market conditions remain very constructive, and of course, we are working to be very efficient with our capital spend.
Mark Murphy: Okay, Mark. Thank you.
Operator: Thank you. And I show our next question comes from the line of CJ Muse from Cantor Fitzgerald. Yes. Good afternoon. Thank you for taking the question. I guess, Mark, to follow up on the prior question around CapEx and the relative growth seems very conservative in the backdrop that we are in. And, you know, it feels like you are just sitting here without clean room space, and it also does not sound like you are, you know, meaningfully pulling in clean room. So can you talk about the philosophy there? And, you know, I guess what I am taking away from your commentary is that you are being very conservative and judicious with adding capacity here.
Mark Murphy: Well, I would say that we have been indicating issues with supply for several quarters, that we were working inventories down, that node transitions were going to be the principal source of supply growth in fiscal '26. And that is, you know, that is exactly what is happening. And, you know, we know that clean room space takes time. And the HBM growth, which has only picked up with AI-driven demand, has further pressured supply. So there is no, you know, near-term solution. As we said in the prepared remarks, the entire industry we expect to be short to demand. And we are no different in that case. But we are moving quickly to do our best to provide customer supply. And we have pulled in tools. We have accelerated construction in Idaho. We are doing everything we can within our existing footprint and near-term capacity expansions to deliver supply. And so, you know, we provided a bit growth number for '26. And that is supply constrained.
Sanjay Mehrotra: And I will just add that, of course, we are continuing to make the investments in technology transitions in our existing footprint. And as we highlighted, that 1-gamma node will be, you know, the majority driver of our supply growth in '26. And, of course, you have seen us make investments not only in technology transitions but also in greenfield capacity, but also enabling greater technology production capability in our existing clean rooms in Japan, and we are making the necessary investments there as well. So of course, we remain disciplined, but we are very much focused and trying to work hard toward increasing our supply there. And pleased with our plans for Idaho one, Idaho two, and, of course, New York as well. Of course, in the short term, very much focused on maximizing production efficiencies, maximizing our production output from the existing footprint as well. But, yes, I mean, demand fundamentals are pretty strong. Driven by AI from data center to edge with the build-out of our customers, supply is significantly short. And, you know, I would say that, you know, in the medium term, we are only able to meet about 50% to two-thirds of our demand from several key customers. So we remain extremely focused on trying to increase the supply here and making the necessary investments.
CJ Muse: Very helpful. And then I guess as a follow-up for gross margins, obviously, the guide is quite stellar. But curious as you go through calendar '26, how should we think about cost down across both DRAM and NAND? And as you transition from 3E to 4, is there anything that we should keep in mind or we should think about contemplating in our models where there might be, you know, higher cost temporarily giving yields or whatnot? Thanks so much.
Mark Murphy: Yeah. So our cost execution has been very good across both DRAM and NAND. Of course, we are getting some volume leverage, but spend control has been very good. Yields have been good. We do have some startup costs coming in for the new fabs, new construction across the network. That starts to come in '26 and into '27. But at these, you know, size of the business, at these levels, it is a relatively small impact on margin. We are not going to provide cost guidance for the rest of the year as it depends on many factors, including mix. But to our earlier question, I can say that, you know, we have talked about up 1-gamma DRAM and G9 NAND. That LAN for supply in '26. And those ramps are proceeding well and will be a tailwind to our cost as these nodes ramp.
Sanjay Mehrotra: Regarding your question on HBM3E and HBM4, as we have said, we will be beginning to ramp production of HBM4 in CQ2 time frame in line with our customer demand. And, of course, our HBM4 is progressing extremely well. Very pleased with our product, industry-leading product with the highest performance of over 11 gigabits per second. And so, I mean, that is the highest performance. And we are very pleased with its overall yield ramp, and we expect that HBM4 to be expecting having a faster yield ramp than our HBM3E. And, of course, our mix of HBM3E and HBM4 during '26 will be very much based on our overall customer demand, and we will have both of these products with a strong profile in our '26 revenue.
Mark Murphy: Thank you.
Operator: And I show our next question in the queue comes from the line of Harlan Sur from JPMorgan. Please go ahead.
Harlan Sur: Hey. Good afternoon, and great job on the quarterly execution. You know, just over the past three to four months as we track the different ASIC AI XPU programs, there has been a significant upward revision on ASIC XPU volume shipments next year. You have Google TPU, AWS Trinium, and so on. Right? And all of these XPUs are still going to be using HBM3E. Have you has the team seen this near-term positive dynamic in your order book for 3E? And given that you are fully contracted for calendar '26, like, what and what appears to be growing upside to next year's view, how is the team how is the Micron Technology, Inc. team going to try and manage this upside dynamic in 3E alongside a strong HBM4 demand profile?
Sanjay Mehrotra: As I mentioned, Harlan, earlier, the top course, 2026 will have a mix of HBM3E and HBM4. And we have shared with you in the past that, you know, we are engaged with multiple with the entire ecosystem here of HBM customers. And very much engaged with them. And, you know, they will all contribute to our strong year-over-year growth in revenue in '26, and of course, that will be made up of both HBM3E and HBM4. So as I said, I mean, we will continue to manage the mix of the two based on, you know, customer requirements. I can tell you that, you know, in 2026, supply on HBM will be tight. A non-HBM DRAM will be tight as well. So we are continuing to see as we have highlighted in our prepared remarks, you know, tightening supply environment. And, of course, we see strong year-over-year growth in '26 for our HBM. We today upped our, you know, revenue forecast or if for each HBM, we highlighted that by 2028, we expect it to be $100 billion TAM, and that is two years ahead of our prior outlook. So, of course, HBM is on a good trajectory. And what I can also tell you is that customers, as their architectures are evolving, you know, as their platforms are evolving, and these are customers across the ecosystem, of course, they are requiring more and more HBM. I mean, the value of memory in terms of ability to deliver the AI capabilities and the functionality and the performance memory is critical, and more HBM is required, and that is across the various AI platforms in the industry.
Harlan Sur: No. I appreciate that, Sanjay. And then after two to three quarters of enterprise, this is the sort of muted trends. I believe the team saw a strong reacceleration in the business, right, according to some of the third-party research estimates I think your enterprise SSD business grew, like, 25% sequentially. In the most recent quarter. Right? So you are the number three market share leader amongst eight or nine competitors. Right? Very strong share position. Given, I would assume, increasing demand trends here, expanding lead times, is the Micron Technology, Inc. team also entering into long-term supply agreements with your ES SSD customers? And then secondarily, I mean, SSD demand, is it more tied to expansion in inferencing workloads as customers aggressively move to monetization? In other words, is storage intensity higher on inferencing versus training workloads?
Sanjay Mehrotra: So with respect to enterprise SSDs, really, very proud of our engineering and business teams and, of course, our sales teams in terms of our customer engagement and the strong momentum and the share gains that we have with our enterprise SSD. Of course, our enterprise SSDs are a big part an important part that we say, of our data center strengthening mix. You know, of course, DRAM is continuing to increase in mix toward data center, but data center SSDs are an important part of our overall revenue mix. And, you know, we expect to continue to focus on share gains with our take a strong SSD roadmap, customer engagement, and great quality that we provide to the customers. And as I mentioned, that our multiyear contract that we are in discussions with with our several key customers. Our SSDs, our data center SSDs are also part of that. And let me tell you that these multiyear contracts are not just about data center customers. They also are about multiple customers across our market segments here. And in terms of your questions on you know, is the SSD requirement growing with inferencing versus training? What I can tell you is that in the data center AI applications, I mean, as the generative AI moves to more and more video, of course, that drive greater demand. For more SSDs as well. So I mean, you know, the rapid evolution of AI from training to inferencing and the evolution rapid evolution of AI models and applications they are all driving greater growth of enterprise SSDs. Yes. Fueled by GenAI.
Harlan Sur: Thanks, Sanjay.
Operator: And I show our next question comes from the line of Thomas O'Malley from Barclays. Please go ahead.
Thomas O'Malley: Hey, guys. Thanks for taking my question. Sanjay, you have been helpful in the past about kind of talking about Micron Technology, Inc.'s ramp in HBM and then also the ramp of the total market. You gave some new color on HBM with the $35 billion moving at a 40% CAGR. But Micron Technology, Inc. specifically, I was curious if you could give us any color on the percentage of the DRAM business today that is HBM from a dollars perspective? And then on share as you move into next year, obviously, there is a large competitor that is looking to become more competitive. Competitive at three. We have not heard anything on four yet. How do you feel about your competitive positioning into next year? And do you think that you are going to make any strategic decisions differently based on the public, you know, certification of their memory in the in the next couple of months? Thank you very much.
Sanjay Mehrotra: We feel very good about our competitive position. We feel very, very good about our product and our HBM4 product that we have highlighted as industry-leading performance over 11 gigabits per second. The best specifications in the industry with our performance, and, of course, we feel very good about the power consumption in our product as well. You know, in the past, we have shared with you that how our HBM3E is 30% lower power than any of the competitors in the industry, and we are maintaining that momentum of low power, which, you know, is in data center applications is very important. Yeah. So we are maintaining our performance and power. And, of course, our strong capacity position with HBM4 roadmap as well. So we feel very good about our competitive position, about our roadmap, and our roadmap going beyond HBM4 for the future years beyond '26 as well. And we are very proud of our team's ability to execute successfully over the course of the last several quarters in terms of ramping up production capabilities of HBM3E. We shared with you that in CQ3, we reached our share of HBM to be in line with our, I mean, our HBM share to be in line with our DRAM share. And we have always highlighted that as we have reached that share, we will particularly in this tight supply environment, we will be managing the mix of our HBM as well as our non-HBM all of it is in high demand. And, you know, HBM as well as non-HBM has strong profitability. So looking at our strategic customer relationships as well as our overall profitability goals, and, you know, growth objectives, we will continue to manage that mix between HBM and non-HBM. But, of course, HBM, you know, is growing, and we have highlighted that how we expect the TAM to be $100 billion by 2028, a couple of years ahead of our prior projection. And, of course, we will grow our HBM as well. 2026 will see a strong year-over-year growth in our HBM. And you know, in this tight supply environment, as I mentioned, that the gap between the demand and supply for all of DRAM, including HBM, is really the highest that we have ever seen, and I quantified it earlier as well. So in this environment, of course, working closely with our customers, we are continuing to manage our mix of the product here.
Thomas O'Malley: Thank you, Sanjay. And just as we focus on also continuing to increase supply to better address our customers' demand requirements.
Thomas O'Malley: Perfect. And then just as a follow-up, you have said historically kind of the $8 billion run rate. If you look at November and February, you are taking up the total TAM, but any color specifically on HBM contribution the November quarter and what you are expecting in the guide?
Sanjay Mehrotra: You know, we are not really providing those specifics here in terms of the breakout. Our HBM revenue was a record. We did highlight that. I mean, we highlighted that in FQ1. And beyond that, we are really not going to be providing the specifics in terms of revenue. And just would tell you again that year over year in '26, we will be seeing a strong growth in our HBM revenue.
Mark Murphy: Thank you, sir. And our product is very well positioned. So, I mean, that is a very good place to be in in terms of managing the overall mix of the business.
Thomas O'Malley: Thank you.
Operator: And I show our next question comes from the line of Krish Sankar from TD Cowen. Please go ahead.
Krish Sankar: Congrats on the phenomenal results and guidance. My first question is for Mark. I know you spoke about the sustainability for next year. I am kind of curious how to think about gross margins beyond the February, like into May, is it going to improve or sustain at these levels? How to think about the gross margins? I have a for Sanjay.
Mark Murphy: Thanks, Krish. And for we are not guiding margins beyond Q2. We did guide a record Q2, as you know. Sixty-eight percent. Eleven points sequential improvement, seven points better than the previous record. We did indicate that we would our business would strengthen through the year. And so we do believe margins can be up. We do believe that they will be up for DRAM and NAND. Now keep in mind that at these high gross margin levels, you know, mathematically, you know, we get less in gross margin percent for the same increase in price. So, yeah, we would expect gross margins to expand beyond fiscal Q2. But we would expect that growth to be more gradual than what we have seen in the last couple of quarters. Or the first quarter and the second quarter guide.
Krish Sankar: Got it. Thanks a lot, Mark. That is super helpful. And then for me just and, Chris, just one one one last thing.
Mark Murphy: You know, we have indicated that, you know, strengthen through the year because we believe this constructive market environment will remain so through the year. These favorable market conditions. But we also, you know, we are executing very well on cost. And as Sanjay mentioned earlier, we are deploying the bits to, you know, the valuable part of the market. And where we can serve our customers best.
Krish Sankar: Got it. Super helpful, Mark. Thanks for that. And Sanjay, just as a follow-up to the earlier question, I understand you want to, like, put some boundary conditions. But, you know, a year ago, you totally nailed it when you said you are going to get, like, HBM market share close to your DRAM market share, the DRAM market share. So when you talk about, like, 2028 40%, $100 billion TAM, how to think about Micron Technology, Inc.'s HBM market share in that realm? Should we as you know, it is going to be the 20%? So that spectrum, or it is going to be lower? Thank you.
Sanjay Mehrotra: So, Krish, again, we are not really going to be specifying, you know, the share. As we have said, we will be managing the mix of the business between HBM as well as our non-HBM. It is like any other product in our portfolio that, you know, when you have a strong product roadmap across the portfolio, you know, then, of course, you know, we manage the mix across our portfolio with all the strategic and customer relationships in mind. So, Krish, we are not really going to break that break that down. And, you know, all I would say is that, you know, in this current industry environment, which we see as durable industry fundamentals, you know, in the foreseeable future. We are in a very good position with all the tailwinds of our product portfolio and, of course, the increasing value of memory across the board, you know, of course, HBM, but also a non-HBM in data center and other markets. We will just remain very focused on managing the mix of our business and, of course, managing for the best in the midterm as well as keeping in mind the longer term.
Krish Sankar: Thanks a lot, Sanjay. Appreciate it.
Operator: Thank you. One moment for our next question. And our next question comes from the line of Chris Danely from Citi. Please go ahead.
Chris Danely: Hey. Thanks, guys. So I just wanted to dig in on these long-term customer contracts you guys are negotiating. Can you give us any more sense of when you think you will be able to sign these and then maybe just talk about what the holdup is. Is it just the unprecedented length? Or size? And given that the AI company asking for so much of your capacity, are you able to get them to, you know, more or less contribute to the building of a new fab?
Sanjay Mehrotra: So we will not really get into the specifics around our contract discussions with our customers. But again, I will highlight a couple of important factors that, you know, customers are concerned about long-term access to adequate memory in the environment that we are heading into. And, you know, that is leading to constructive dialogues with, you know, several key customers in with them and across our multiple markets. You know, in terms of, you know, their supply as well as other important specific commitments related to these longer-term estimates. So not getting into the specifics, but as I highlighted, our contract structures that we are discussing are not like anything before. You know, they are far stronger contract structures with specific commitments, and, of course, different from prior contracts is that those used to be, money and contracts, and these are multiyear in nature as well. And as we look at addressing the customer discussions, of course, we have to look at our overall supply. And I have mentioned to you that in the midterm, medium term, we are only able to meet, you know, half to two-thirds of the demand from our several key customers. All of that, you know, as we are managing our customer relationships and, you know, keeping, you know, our strategic objectives in mind, all of that has to be taken into account as we manage our contract discussions. But really, not getting into the specifics here.
Chris Danely: That is still very helpful, Sanjay. Thanks. And for my follow-up, just a question on HBM and the pricing there. So given that the demand is so strong, I think you said you are sold out for '26. Are you are you guys locked into a set price, or can you let that price, more or less float a little bit given how strong demand is like, you know, DDR5 does, for example?
Sanjay Mehrotra: You know, we are really pleased with our product position and our, you know, ability to work with our customers as we highlighted. In our prepared remarks that our HBM for 2026 is sold out in terms of volume and our negotiations with customers have been completed for calendar year 2026 for volume as well as pricing. And as we have always highlighted that our HBM has strong profitability, you know, and of course, you know, very much focused on ROI. And our non-HBM business also clearly has healthy profitability as reflected in the results that we produce as well as in the guidance that we have provided here.
Chris Danely: Great. Thanks, Sanjay, and congrats again on the results.
Sanjay Mehrotra: Thank you.
Operator: Thank you. And I show our next question comes from the line of Vivek Arya from Bank of America Securities. Please go ahead.
Vivek Arya: Thanks for taking my questions. Sanjay, I am curious, at what point does increasing memory price impact, you know, demand for electronics? If you set aside the data center and the AI market, do you see some elasticity? Do you see any impact on demand as you look into 2026 for more consumer and kind of traditional enterprise products? How does that shape where memory pricing can go next year?
Sanjay Mehrotra: You know, we have highlighted in our prepared remarks that, you know, in some of the consumer markets, yeah. I mean, some of the unit demand may get impacted, you know, given, you know, semiconductor prices here, given memory prices here. And, of course, some of the customers may have, you know, for example, in smartphone and PCs, they may have some mix adjustments in their portfolio as well to address available supply to them. But, you know, these are accounted for in our forecast that we have. And so it I mean, some of the possible impact on unit demand and some of the customer mix changes have been accounted for in our forecast. And we, of course, even then, we see a very, very tight supply environment here in the large gap between the demand and supply. However, I will highlight to you that AI experience across from data center to edge, including in these edge devices like smartphones and PCs and other devices, AI experience really more memory is essential. So without sufficient memory, you know, that AI experience, the functionality, the capability does get impacted in these edge devices as well. So, I mean, the punch line here is that AI across the board from data center to edge is driving an increase in content and increasing requirement for memory as the customers look ahead at their roadmaps. And, you know, that is why customers are, of course, you know, working with us with respect to access to supply for their long-term multiyear plans here as well.
Operator: Thank you. This concludes our Q&A session and today's conference call. At this time, I would like to end today's conference call. Thank you all for participating. You may now all disconnect.